Operator: Good afternoon, my name is Kim and I’ll be your conference operator today. At this time I would like to welcome everyone to the Royal Gold fiscal second quarter 2010 conference call. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question and answer session. (Operator’s instructions). Thank you. Ms. Karen Gross you may begin your conference.
Karen P. Gross : Thank you operator and hello everyone. Welcome to our second quarter conference call that is being web cast live. You will be able to access a replay of the call on our website at www.royalgold.com. Also on the website you will find our release detailing our financial results. As always this discussion falls under the Safe Harbor Provision of the private securities litigation reformat. A discussion of the company’s current risks and uncertainties as included in the Safe Harbor statement in today’s press release and is presented in greater detail in our filings with the SEC. Participating on the call today are Tony Jenson, President and CEO, Stefan Wenger, Chief Financial Officer and Treasurer, Bill Heissenbuttel, Vice President in Corporate Development, Bill Zisch, Vice President in Operations and Bruce Kirchhoff, Vice President and General Counsel. A Q&A will follow our comments. We will also be discussing the company free cash flow, which is a non-GAAP financial measure. There is a free cash reconciliation in today’s release. Now I’ll turn the call over to Tony.
Tony Jensen : Good morning and thank you for joining us today. We are pleased to report another quarter of record financial performance. Our fourth consecutive quarter of record revenues and free cash flow. During the quarter we achieved $34.7 million in royalty revenue and free cash flow of $28.6 million or $0.71 per share. Free cash flow was 82% of total revenue. Net income was $9.6 million or $0.24 per basic share. And our percentage of revenue from gold was 84%. In looking at our financial performance, over the first six months of our fiscal, Royal Gold achieved record revenue and free cash flow for this period as well. In our first half royalty revenue was $60.9 million. Free cash flow was $51.2 million. And net income was $16.7 million for $0.41 per basic share. This compares to royalty revenue of $30.7 million. Free cash flow of $24.8 million. And net income of $27.1 million or $0.80 per basic share for the first half of fiscal 2009. It is important to remember that last year’s comparable periods included the effects of a one-time gain of $31.5 million or $0.60 per basic share resulting from the restructuring of our Cortez royalties in conjunction with the Barrick transaction. So excluding that one time event you can see that our earnings were significantly higher in the current period. Our top performing properties in the second quarter were Cortez and Taparko. Together these two properties generated nearly $18 million in revenue. While Robinson, Leeville and Mulatos contributed a combined total of $9 million during the period. The average price of gold for the quarter was $1,100 per ounce compared with $795 per ounce for the period ending December 31, 2008. While this represents a 38% increase, our revenue increased by 138%. This demonstrates the strength of the production performance of our portfolio. And these record results come prior to any meaningful contribution from the Penasquito in Andacollo royalties. Both of these projects are in the commissioning and ramp up stage and are expected to become our two largest revenue contributors over the next six to nine months. Now I’ll turn the call over to Bill Zisch for an update on our key assets.
William M. Zisch : Thank you, Tony, and good morning everyone. While there were many contributors to the quarter’s record performance, I will once again focus my comments on the principle properties that have had notable accomplishments or changes since our last conference call. I’ll start with Penasquito. As I reported during last quarter’s call, the first lead and zinc concentrates were shipped in early November. And Goldcorp has continued to produce and ship concentrates since that time. They began operational production in January and expect commercial production for both the first and second sag lines to be reached in the third quarter of this year. Goldcorp expects 2010 production to be over 150,000 ounces of gold, 10 million ounces of silver, and 100 million pounds of both zinc and lead. At Canadian Malartic as of the end of December, construction start up at Canadian Malartic is complete and the relocation program is about 95% complete. Osisko has identified good advanced stages of detailed engineering, sound planning and collaboration with all stake holders as keys to their progress. Investments today represent about 30% of the project budget with commitments slightly over 60% of budget. Full project funding is in place and Osisko remains on track for a 2011 start up. Osisko announced an 8% increase in gold resources at the Canadian Malartic south Barnet project. They anticipate that the completion of an economic evaluation study during the first quarter will allow them to update their reserves at that time. In a few minutes, Tony will discuss the Andacollo closing and the significant of this new property to Royal Gold. However, as part of my operations review I want to share a few of the key updates. Tech has announced that construction at the Andacollo hyper gene project is substantially complete. Wet commission is also finished. And oil processing has begun. Tech has been successful in resolving its water issues by developing a secondary water source for long term, by obtaining the water necessary for initial production through the execution of a water exchange agreement with the local water utility. This agreement will benefit the regional community by securing additional and higher quality potable water for the utility's customers. Production is expected to ramp up over the next several months with the shipment of copper concentrates in April and commercial production expected in the first half of calendar 2010. At Cortez, calendar year to date royalty revenue was 8% above expectations. A positive grade variance in the fringe area of Phase 9 of the pipeline pit contributed to the quarry’s strong performance. While Barrick is working with the BLM to resolve permitting challenges at the Cortez Hills project, ramp up of underground operations and the development of the open pipe operations continue. As I mentioned last quarter when ore from the Cortez Hills is sped to the mill, we will see a follow up in royalty revenue from the mill production, but concurrent production of (inaudible) from our area of interest is expected to continue. The near term production schedule at Cortez maybe influenced by permitting challenge. However, it’s important to note that the area of the mine subject to our royalty interest is permitted. At Taparko calendar year fourth quarter results at Taparko demonstrated solid operating performance that exceed expectations. With record quarterly sales that exceed plan by 65%, Taparko continued to be one of our most substantial revenue contributors. At the beginning of December, Somita began a 90 day operational completion test in an attempt to satisfy conditions of the Royal Gold funding agreement. Performance during September was good with production exceeding plan by 11%. Availability was 97% and throughput was 18% above design levels. Both of which exceeded the operational completion tests target level. Record production and sales for the quarter were supported by throughput, grade and availability that exceeded plan. Robinson’s fourth quarter copper production was significantly above their two prior quarters. However, for the year production short falls through the first three quarters of 2009 were not entirely overcome in the fourth quarter. Full year sales were slightly below Quadra’s reduced annual guidance of 120 million pounds of copper. While prior period pit access and blending issues impacted calendar year end results, guidance for 2010 is back to the 130 million pound range. Production at the Mulatos mine was approximately 20% above plan for the calendar year. Previously reported operational improvements continued to pay dividends as recovery ratios exceeded budgeted levels. Alamos remains focused on incremental improvements and expects to see future positive contributions from pressure modifications during the fourth quarter. At Leeville, fourth quarter progress in development and back filling led to good productivity at Leeville with yearend production 10% above planned. In summary, six of our nine principle producing properties exceeded plan production in 2009 as they combined to produce 2.1 million ounces of gold that were subject to our various royalty interests. Exceeding the 2 million ounces forecasted for these properties at the beginning of the year. Once again, this is attribute to the quality of our diverse property portfolio and the capabilities of those offered in these mines. With that I’ll turn the call back over to Tony.
Tony Jensen : Thanks for the update, Bill. Now I’d like to talk about some important developments that have recently taken place. First of all I’m very happy to report that we closed the Andacollo transaction last week. Total consideration for the transaction was approximately $218 million in cash and $1.2 million shares of Royal Gold common stock. The significant transaction is our single largest deal in the history of the company. And we expect this property to be a corner stone royalty for the next couple of decades. We are pleased to be associated with an operator of tech capabilities. We maintain frequent contact with Tech as they work through the water issue at site and their responsible management of community concerns allow Tech’s subsidiary CDA to achieve a mutually beneficial resolution for them and the region as well. As Bill mentioned, operations are ramping up as planned and we look forward to full commercial production during the first half of calendar 2010. I’d just like to step off line here for a moment and mention that we had our entire board to this site just two weeks ago. And we are all very impressed with what we saw and certainly for me it was an amazing transformation over the one year period since I had last been on site seeing the entire property ready to go into production. Particularly exciting to be there at a point in time where the first ore was introduced into the seg mill. No doubt there was a great sense of pride with the CDA staff and also the construction team as the first ore did go through the mill. And we’re simply pleased to be associated with this project. It’s going to be a fantastic royalty for us, we believe. And perhaps a bit of my bias coming through, we are very, very pleased to be associated with a great host country like Chile. I spent four years of my career there. And we’re pleased to build our portfolio in Chile. Turning to IRC, another important development for the company occurred in mid December when we announced a plan of arrangement with international royalty corporation. Under the arrangement Royal Gold would acquire all of the issued and outstanding common shares of IRC. IRC shareholders can elect to receive either cash or common shares of Royal Gold or a combination of cash and shares. IRC’s board of directors has unanimously determined that the arrangement is in the best interest of the shareholders and has recommended that they vote in favor of the transaction. We’re moving forward with the transaction. Last month obtained an interim order from the Ontario Superior Court of Justice approving a special meeting of the IRC shareholders which will take place on February 16th. The hearing of the final order is expected on February 19, subject to the approval of the arrangement by the IRC shareholders at the special meeting. Royal Gold has entered into voting agreements with IRC directors, senior officers, and several significant IRC shareholders who have agreed to vote their shares in favor of the transaction. Collectively, these shareholders represent about 34% of IRC common shares, on a fully diluted basis. In late January, we also completed definitive documentation for a new $100 million secure term loan, which will be available in conjunction with the closing of the transaction. We’re very excited about the combination of IRC and Royal Gold. As this will bring together two high quality royalty portfolios with excellent growth in gold, substantial cash flow generating capacity and a very impressive pipeline to development assets. The combined portfolio with a total of nearly 200 royalty interests will provide scale and efficiencies that are advantageous for competing and participating in even larger transactions. Most of the future growth in the IRC portfolio comes from precious metals. And we believe both sets of shareholders will benefit from gold focused revenue growth. In closing, we’re obviously pleased with the growth and diversification Royal Gold has achieved over the past several years. And this is a very exciting time for the company. With a producing portfolio generating a robust financial results, and with Penasquito and Andacollo and potentially (inaudible) coming into commercial production in 2010. And if we include in the IRC development portfolio, then Nata (ph), South Laboratine (ph), Tambor, and Wolverine Gold and Silver royalties are expected to achieve full production in 2010 as well. We are dedicated to building a premium precious metal royalty company. And welcome IRC shareholders to participate in this high quality royalty portfolio. Operator, that concludes our prepared remarks and we’d be happy to answer any questions if there were some.
Operator: (Operator’s Instructions) We’ll pause just for a moment to comply the Q&A rooster. Your first question comes from the line of Adam Schatzker from RBC Capital Markets. Your line is now open.
Adam Schatzker - RBC Capital Markets: Just a few questions if I could, please. Looking as you mentioned in your comments there at the performance of Cortez, Robinson and Leeville, can you just comment on the sustainability of those or should we expect to see those perhaps coming down a little bit in this year coming forward here?
William M. Zisch : On those three specific ones I would answer that Cortez is (inaudible) is scheduled to have a bit of a softer year this year. Although there is a bit of uncertainty associated with the permitting challenge that they have there currently, Adam. And so there is the stay that’s being filed on the Cortez Hills property. And that may impact the decisions of where Barrick choices to mine during the course of this year. So that’s a big up in the air. With regard to Robinson, I think they’re revised – I shouldn’t say their revised, their forecast for what they’re looking to produce this year is a little bit above what they actually produced last year. So that seems to be sustainable. And with regard to Leeville, I think that’s a reasonably solid and secure property now. They did have a very good 2009. But we don’t have any information at the present time that would indicate that there would be less than what they did in 2009.
Adam Schatzker - RBC Capital Markets: Okay. And just a question on Taparko if I could. I was looking at what you have written in the press release today with respect to the completion test. Can I assume from what you mentioned there that they have achieved a completion test?
Tony Jensen : Bill, would you like to answer that?
William M. Zisch : Adam, thanks for the question. The completion test is a 90 day completion test started on December 1, so end the end of February. So right now we really can’t assume anything with regard to where they will end up. As I mentioned their December performance was quite good. And they exceeded the completion test results in December. Their results in January continue to be similar. So everything looks pretty good but we can’t determine anything until the end of February.
Adam Schatzker - RBC Capital Markets: Okay. And on other thing, just sort of looking at the model here. Am I right in assuming that they’re very close now to hitting the cumulative payments of $35 million?
Tony Jensen : I’ll ask Stefan to answer that.
Stefan L. Wenger: To date we’ve received about $20 million under the first royalty to PP1 on that royalty. I think about $5 million of the $9 million for this quarter came from that PP1. So you can assume those consistent levels there’s three or four more quarters under that before we reach that cap under the PP1.
Adam Schatzker - RBC Capital Markets: Okay. And I guess I have to ask about IRC before I let you guys go to the next question. Your probably not going to answer it, but if Franco comes back with another bid how aggressive do you think you guys would be? Is this something that you feel you absolutely have to have or is there certainly a limitation?
Tony Jensen : Adam, we’re not going to answer that question directly on it. Just doesn’t make sense for us to do that. But I will say that we are very pleased with the combination of IRC and Royal Gold. We think there is certainly some merit to getting these two companies together at the right price. But we are a disciplined organization and we never pursue a transaction that doesn’t make sense for our shareholders.
Adam Schatzker - RBC Capital Markets: Okay. Great. I appreciate your time everyone. Thank you very much.
Operator: Your next question comes from the line of Andy Schopick from Nutmeg Securities. Your line is now open.
Andrew Schopick – Nutmeg Securities: Thanks. Stefan, I’m going to come back to Taparko. I’ve got several questions. But what I just heard you say has confused me a little bit. Because in 2008 you generated royalties of about $7.4 million from Taparko, then $10.43 million in fiscal 2009. And now I see another $8.9 which would bring us up to a cumulative $26.8 million of royalty revenue. That suggests to me that $35 million could be recovered in its entirety in the next quarter or the current quarter. So I’m a little confused about the response that you gave.
Stefan L. Wenger: Yeah. Let me just address that and step back to Taparko. There’s two royalties that are currently paying right now at Taparko. The first royalty is a thick straight of 15%. And that’s the one on which the $35 million cap is determined. And then there’s a second royalty that’s also contributing to those numbers that you just gave which I don’t have a cumulative number here for the combined royalties. But they sound good. So that PP2 royalty is a sliding scale based on gold price to buy by 1,000. So right now it’s paying 10%. So that cap is only based on the first royalty.
Andrew Schopick – Nutmeg Securities: Which is a fixed rate?
Stefan L. Wenger: Yeah. Which is the 15% royalty.
Andrew Schopick – Nutmeg Securities: So, if the cumulative payments to date, how much of that is fixed rate? We have $26.8 million cumulative.
Stefan L. Wenger: $20 million under that fixed rate in royalty.
Andrew Schopick – Nutmeg Securities: $20 million has been paid?
Stefan L. Wenger: Yeah.
Andrew Schopick – Nutmeg Securities: Okay. Thanks for clarifying that. Also I have several other questions. I want to come back to Robinson and the situation there. There were provisional pricing adjustments at Robinson. I’m not sure I understand the conditions that caused that and what to anticipant in the current fiscal year. I mean, copper is down over $50 just so far this year. What are the issues with respect to royalty recognitions at Robinson?
Stefan L. Wenger: Essentially I think you’re referring to last year where we had some negative provisional pricing adjustments?
Andrew Schopick – Nutmeg Securities: Yeah.
Stefan L. Wenger: And last year we saw copper during our fiscal second quarter last year we saw copper drop from nearly $4 to, I think, $1.50 in just over a month and a half. So during that quarter we had some provisional pricing adjustments that negatively impacted our royalty. I think we recorded negative $1.3 million in royalty revenue during that quarter last year.
Andrew Schopick – Nutmeg Securities: Correct.
Stefan L. Wenger: The way Robinson is paid on their copper shipments, they get paid on initial shipment based on volume and price at that time. The volume is trued up about a month or so following that provisional payment. And then pricing is settled somewhere in the neighborhood of three to four months following that initial shipment. So when you saw those significant price changes last year, we follow Robinson’s payment so we also had to participate in those negative pricing adjustments. During this year to date we have had significant pricing adjustments that have impacted our revenue materially. Over the last couple of quarters there had been positive adjustments, but they’re not significant.
Andrew Schopick – Nutmeg Securities: But with copper coming down again, is the likelihood of pricing adjustments increasing as we go through the balance of the fiscal year?
Stefan L. Wenger: Yeah. I mean, we’re subject to both positive and negative pricing adjustments. So it’s something that’s resident in our revenue from Robinson each quarter. To the extent prices change on copper we’re going to have some impact to that. I can’t forecast what the copper price –
Andrew Schopick – Nutmeg Securities: Yeah. I understand. Either for you or Tony, if gold had averaged $1,000 an ounce in the quarter instead of $1,100, how would that have – back me u pa little, how would that have impacted your royalty revenue in the quarter?
Stefan L. Wenger: We have a chart, that’s actually disclosed in our 10Q that we’re going to file tomorrow that covers the change in the price. I think for the quarter if gold had average $50 higher (inaudible) we would have had an impact on revenue of about $2.5 million. So if you take that to $100 that would have been a change of $5 million either way.
Andrew Schopick – Nutmeg Securities: And of course the situations changing because of the acquisitions and the properties now that you’re acquiring here. I don’t know how that enters into the equation. But they had to call you and possibly IRC coming into the mix. But I suspect there will be certainly some impact there. The other question I had was with respect to the Barrick royalty portfolio in general. That contributed, according to the annual report $12.2 million in fiscal year ’09. Can you give us some sense of how that contribution is likely to track in the current fiscal year?
Stefan L. Wenger: I don't have a specific number for that because we really don't think of that as the Barrick portfolio we honor. It's part of our portfolio. I could follow up with you with a specific number following the call. We can put that out.
Andrew Schopick – Nutmeg Securities: Okay, thank you.
Tony Jensen: You're giving him a good workout, Andy.
Andrew Schopick – Nutmeg Securities: I could go on, but Karen, you're right, I do have followup questions for you after the call.
Tony Jensen: Let's move on. Thank you, Andy.
Andrew Schopick – Nutmeg Securities: Thanks.
Operator: Your next question comes from the line of Imaru Casanova with BJM Securities.
Imaru Casanova - BJM Securities: Hi, everyone. I had a couple of questions on the quarter near the beginning of production. I know Teck has guided production of about 53,000 ounces of gold on average. Did you guys have any indication of what the ramp up is going to be like starting mid-this year and for the following calendar year as well?
Tony Jensen: Let me address that and I'll turn to Bill Zisch if he's got anything more to add to that, but the 53,000 was an average over the first 10 years. Now we know the grade's a little bit higher on the front end of that so we'd expect a little bit better than the average, but you're right. We have a ramp up period here that Teck has said is going to be at commercial production in the first half. So these things take a little time. It's a little bit difficult for us to forecast whether commercial production would be achieved in one, two, three, or four months. So I think I'm going to have to just stay a little bit light on guidance there, although the early indications are the ramp up is going very well.
Imaru Casanova - BJM Securities: Okay, that's good. Now if you could help me clarify this so that I can adjust my model, the 53,000 is that payable gold production or should we apply a recovery to that?
Tony Jensen: Yeah. Looking to Bill Heissenbuttel here.
William Heissenbuttel: That's produced, right. 53,000 ounces, Imaru, is the produced amount so then we would apply a 75% to that.
Imaru Casanova - BJM Securities: 75%, okay I was being a little too optimistic. I was applying a higher — okay, I will make that adjustment, thank you. And then the other question I had in looking at your income statement for this quarter, we had a $2.8 million business development expense, is that something that we should expect going forward? It's considerably higher than I was expecting. I'm wondering what's reflected there and whether we should continue to expect that going forward?
Stefan L. Wenger: Yeah, that' s a good question, Imaru. We had IRC transaction costs that came in, in a large way in this quarter and so that is not something that we would expect to repeat quarter after quarter. There will still be some residual expenses coming in this period, but as you may be aware we have some backstop protection in there with regard to reimbursement of those expenses if indeed we do not go forward with the IRC transaction so that's really the nature of those business development expenses.
Imaru Casanova - BJM Securities: I see. Okay, I think that's about it for me. Thank you.
Operator: (Operator's Instructions) Your next question comes from the line of John Tomaso (ph) with John Tomaso Very Independent Research.
John Tomaso - John Tomaso Very Independent Research: Thank you very much. Regarding the IRC acquisition, do you have all the people locked up under employment contracts? Do you expect to continue their creative personnel and how much is the business synergy putting the two companies together and just getting rid of duplicative stock registration, et cetera?
Tony Jensen: John, good question. We have not come to definitive terms or final decisions on the people at IRC. We recognize that there certainly is some talent there and I want to keep those cards rather close to my chest at this time, although we've given significant thought to it. Let me not mislead you there. And there is a tremendous amount of synergies just with regard to public accounting, to listings and all of that, and there is duplicative personnel. As you know, it doesn't take a whole lot of expenses to manage a large royalty portfolio so we certainly won't expect to — let me flip it around and say we'd certainly expect to see a much more efficient, on a cost basis, organization going forward.
John Tomaso - John Tomaso Very Independent Research: Might that be $5 million, $10 million sort of magnitude?
Tony Jensen: Well, I don't think we have a — Stefan, do you have a number with regard to that? I don't have a number in my mind as to exactly what the additional — I think what you're asking, John, is what additional cost might there be to what we have as a steady-state company?
John Tomaso - John Tomaso Very Independent Research: Or I was thinking what savings would be. So what you're saying is that your costs may not change and that the IRC costs might just disappear?
Tony Jensen: Significantly.
John Tomaso - John Tomaso Very Independent Research: Thank you very much.
Operator: Your next question comes from the line of Andrew Schopick from Nutmeg Securities.
Andrew Schopick – Nutmeg Securities: Stefan, on a different matter, the term loan that's in existence at this time, how much of that do you anticipate utilizing in the current fiscal year and what is the LIBOR rate right now?
Stefan L. Wenger: Last I checked 90-day LIBOR was about 25 basis points although I haven't checked the last couple days so someone correct me if I'm off. We would expect to use that new term loan only at the consummation of the IRC deal and we'll use a combination of that and our existing credit line which is $125 million os that gives us $225 million of total debt capacity with respect to closing that transaction. Also it would depend on the elections because if you recall there's a range of cash consideration in the deal.
Andrew Schopick – Nutmeg Securities: Yes. And the other question I wanted to ask you is if you could give me just a general rough feel for this is how many fully diluted shares will be outstanding, making some assumption about IRC in the third and fourth fiscal quarters once that transaction's completed? I mean, we have kind of a general sense of how many shares might be involved. How much additional dilution are we going to see here in the share count over the balance of the fiscal year?
Tony Jensen: Currently we have roughly 42.2 million shares outstanding following the Teck transaction.
Andrew Schopick – Nutmeg Securities: Is that basic?
Tony Jensen: Yeah, that is everything.
Andrew Schopick – Nutmeg Securities: Okay, diluted.
Tony Jensen: And the max share consideration under the IRC deal is 7.5 million shares so that would bring you close to 50 million, about 49.7.
Andrew Schopick – Nutmeg Securities: Okay. And that would be reflected more towards the fourth fiscal quarter at that point.
Tony Jensen: In the third and fourth quarters.
Andrew Schopick – Nutmeg Securities: Okay. And I think there was one other thing that was on my mind, but it has slipped my mind so I'll have to call back if I need to pursue anything further. Thank you.
Operator: Your next question comes from the line of Brian MacArthur with UBS.
Brian MacArthur - UBS: Good morning. I just wanted to follow up on something you said. You mentioned the second $100 million credit facility would be available for the IRC which I understand, but is that to imply though if you don't do IRC, that $100 million is not available or is conditional on the transaction or are you just getting another $100 million line either way?
Tony Jensen: The purpose of that $100 million line is for the IRC transaction.
Brian MacArthur - UBS: So if for some reason you don't go ahead and close it, you don't have access for that $100 million to go and do something else?
Tony Jensen: That's correct. We could always look at other opportunities if our credit facilities need to be higher, but the purpose of that $100 million is for the IRC transaction.
Brian MacArthur - UBS: Great. Thank you very much. I just wanted to clarify that.
Operator: There are no further questions at this time. I'd like to turn the call back over to the presenters.
Tony Jensen: Thank you, operator, and thank you for joining us today. We very much appreciate your continued support of Royal Gold and we look forward to continuing to update you on our progress with IRC and also on our financial results on the next quarterly call. Thanks very much.
Operator: This concludes today's conference call. You may now disconnect.